Operator: Good morning and welcome to the AutoZone conference call. (Operator Instructions) This conference call will discuss AutoZone’s second quarter financial results. Mr. Bill Rhodes, the company’s Chairman, President and CEO will be making a short presentation on the highlights of the quarter. The conference call will end promptly at 10:00 am Central time, 11:00 am Eastern time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements.
Brian Campbell : Certain statements contained in this presentation are forward-looking statements. Forward-looking statements typically use words such as "believe," "anticipate," "should," "intend," "plan," "will," "expect," "estimate," "project," "positioned," "strategy," and similar expressions. These are based on assumptions and assessments made by our management in light of experience and perception of historical trends, current conditions, expected future developments and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties, including without limitation: competition; product demand; the economy; credit markets; the ability to hire and retain qualified employees; consumer debt levels; inflation; weather; raw material costs of our suppliers; energy prices; war and the prospect of war, including terrorist activity; availability of consumer transportation; construction delays; access to available and feasible financing; and changes in laws or regulations. Forward-looking statements are not guarantees of future performance and actual results; developments and business decisions may differ from those contemplated by such forward-looking statements, and such events could materially and adversely affect our business. Forward-looking statements speak only as of the date made. Except as required by applicable law, we undertake no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Actual results may materially differ from anticipated results. Please refer to the Risk Factors section of AutoZone's Form 10-K for the fiscal year ended August 25, 2007, for more information related to those risks. In addition to the financial statements in according with Generally Accepted Accounting Principles, AutoZone has provided metrics in this presentation that are not calculated in accordance with GAAP. For a reconciliation of these metrics, please see AutoZone’s press release in the Investor Relations section at www.autozoneinc.com.
Bill Rhodes: Good morning and thank you for joining us today for AutoZone’s fiscal 2008 second quarter conference call. With me today are Bill Giles, Executive Vice President and Chief Financial Officer Store Development and IT and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax. Regarding the second quarter I hope you’ve had an opportunity to read our press release and learn about the quarter’s results. If not the press release along with slides complimenting our comments today is available on our website, www.autozoneinc.com. Please click on Quarterly Earnings Conference Calls to see them. To begin I’d like to thank our entire organization for delivering another quarter of record sales and earnings. I’d also like to take a moment to recognize everyone at AutoZone for the wonderful accomplishment of opening our 4,000th in the United States this past quarter. Founded back on July 4th, 1979 in Forrest City, Arkansas, I don’t think any of the AutoZoners that helped open that first store could ever have imagined that we’d have that many stores today. Congratulations everyone and I am looking forward to celebrating many more milestones for years to come. Now to some details on the quarter, we began the second quarter focused on the same key initiatives we launched at the beginning of our fiscal year. We continue to reinforce to the organization the importance of putting our customers in everything we do. Our efforts include continuous training on product knowledge, leadership and most importantly our culture of customer satisfaction. We understand and consistently reinforce to our organization that customer satisfaction is driven by our customers’ experience with us in a variety of touch points. From their in store experience to our phone conversations with them or even through the usage of our internet site, we focus intensely on providing superior trustworthy advice regardless of mode and believe it is our key point of differentiation. Secondly I want to reiterate that the ongoing refinement of our parts assortment is one of our key operating priorities. Over a year ago, we made significant enhancements to our merchandise assortment planning tool and integrated it with an enhanced category line review process. Together those process improvements have resulted in additional parts coverage significantly enhancing our ability to meet the demanding needs of our customers. We continue to believe that these areas of focus are critical to our future success. We are constantly reminded of the importance of these two priorities through our conversations with one of our most important constituents; our AutoZoners and specifically our store AutoZoners who are on the front lines listening to and meeting the needs of our customers on a daily basis. I am consistently inspired by the commitment our AutoZoners have to our customers and by the level of enthusiasm they have for our business and our future prospects. We constantly stress the importance of flawless execution throughout our organization. Although our execution certainly hasn’t been flawless it has improved significantly over the last couple of years and we are quite pleased with our progress. While our retail sales showed a slight deceleration from our first quarter results we feel our continued focus on putting customers first, ensuring our AutoZoners are knowledgeable, making sure our stores look great and ensuring we’ve got the best merchandise at the right price will lead to continued ongoing success. We remain optimistic as we head into our most important and productive time of the year; the third and fourth quarters. Secondly we’re really gaining traction with our commercial business. We are steadfast in our commitment to building sales and earnings momentum in this business for the long run. Over the last year, we’ve implemented enhanced sales processes, marketing collateral and training for our commercial AutoZoners all geared to deliver on our objective of building a world class sales organization. These efforts combined with the improvements in our core operating processes have begun to build momentum in this business. As this momentum has built our enthusiasm for our ability to capture a much larger profitable share of this business has also increased. We believe we have substantial opportunity to grow our sales and profits in this business for many years to come. Before we discuss the specifics of the quarter I know many of you would like to understand how sales unfolded during the quarter. Typically we don’t discuss intra quarter trends and we don’t discuss them because our sales can fluctuate significantly from week to week for a variety of reasons most notably weather patterns. The second quarter is almost always our most tenuous quarter because it is our seasonably lowest sales quarter, the weather is quite variable and it includes three major holidays which occur on different days of the week each year. Instead of focusing on weekly or monthly fluctuations in this call, we want to express to you that we have not seen any material change in the underlying trends in our business that change our outlook for the balance of the year. Finally I’d like to address what we’re seeing from a customer standpoint. The US economy has certainly been challenged in recent months and those challenges have resulted in softer trends across the broader retail sector. Having said that, I want to remind you of the two largest factors we believe drive the overall performance of the automotive aftermarket; miles driven and the number of vehicles on the road specifically the number of seven year old and older vehicles on the road. In recent years we have highlighted the negative correlation we have seen with our sales during periods of higher gas prices. We believe this has been a key contributor to the reduced level of increases and at times decreases in miles driven. The changes in miles driven trends appear to again suggest some softness across the broader automotive aftermarket. Although it’s in the low single-digit range. While the other macro economic challenges appear to be impacting the broader retail sector, we want to reiterate that historically we have not been able to develop a statistical correlation between any of these other macro challenges and our sales performance. We certainly remain mindful of other issues affecting the health of consumers but we believe the most important determinant of our future success is our strategies and more specifically our execution of those strategies. For the agenda this morning, I will review our overall financial results and then go into detail regarding our DIY sales initiatives, commercial initiatives and Mexico. Bill Giles will then provide more detail on our earnings performance as well as an overview of both our balance sheet and cash flow statements for this past quarter. Finally I’ll provide a few closing comments. Regarding the second quarter, for the 12 weeks ended February 9, we reported sales of $1.339 billion an increase of 3% from last year’s second quarter. Same store sales or sales for stores open more than one year we down 0.3% for the quarter. For the quarter our sales didn’t meet our aspirations but we continue to believe we are focusing on the right initiatives and that we are well positioned as we enter our peak sales period. While our retail sales showed a modest deceleration versus the previous quarter our customer satisfaction surveys continued to confirm that we are on the right track. Finally we continue to be pleased with the significant progress we are making in our commercial business. In the second quarter gross profit as a percentage of sales was up 71 basis points versus last year’s quarter while operating expenses as a percentage of sales increased by 53 basis points. This resulted in an operating margin of 14.7%, up 17 basis points from last year’s quarter. Operating profit increased 4.2% versus the prior year. Net income for the quarter was $107 million and diluted earnings per share increased 15.7% to $1.67 from $1.45 in the year ago quarter. Our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 23.2%. This increase showed a slight improvement versus last quarter and a more material increase versus last year’s second quarter. Return on invested capital is a key measure of our success. We have and will continue to make investments that we believe will generate returns that significantly exceed our cost of capital. We will not deviate from our efforts to optimize shareholder value over the long term. We continue to be fiscally prudent with our investments while optimizing our earnings per share. Now I’d like to talk in detail about our DIY sales results. Total domestic retail sales were up 1.9% for the quarter. During the second quarter we continued to focus on driving sales and profits for long term growth. We believe we did well in spite of the headwinds we saw during the quarter. Specifically we believe our customers continue to feel pressures at the pump and that combined with a slight decrease in miles driven negatively impacted this quarter’s sales. During the quarter, as is customary, we experienced regional discrepancies in our sales performance both positive and negative. However nothing was material enough to highlight. Our theme for this past quarter was continue to focus on improving the customer shopping experience. We challenged our AutoZoners to greet each and every customer that came to our stores, getting out from behind the Parts counter and asking how they can help them. We ask our AutoZoners to take advantage of the inventory additions in their stores to make sure we’re selling our customers the complete solution for a job, not just one part at a time. We know what it means for our customers to get all the way home, start on their car repair and realize they don’t have what they need. While this may sound basic, the key is getting over 4,000 stores and more than 50,000 AutoZoners executing this on a consistent basis. We certainly cannot claim we’ve been perfect in our efforts, in fact we know we have stores that need improvement but on average we feel we’re making great strides. To support this notion we are excited by our customer survey results. This past quarter our customers rated their overall shopping experience with AutoZone higher than ever before. With over 40,000 surveys completed monthly, we feel we’re getting a statistically significant sample across all demographics. We continue to learn from our customers and their comments regarding their experience and we are constantly refining our offerings to create the shopping experience they demand and deserve. As noted above we continue to focus relentlessly on improving our parts assortment. We are now in the second year of using the enhanced tools we put in place to refine our assortment. We have learned a great deal from last year’s implementation; both our successes and our mistakes. During the second quarter we implemented product assortment changes across 12 of our major categories. We are encouraged by our results to date and excited by the differences our future enhancement can make. We remain committed to refreshing our product assortment on a routine basis as this is critical to keeping our product assortment relevant to the ever-changing vehicle demographics in each store’s trade area. During the quarter we implemented a few aggressive tactics designed to accelerate our sales momentum. Specifically during the holiday season, we ran some very aggressive promotions in an attempt to increase store traffic. We supported those aggressive promotions with incremental marketing efforts. We learned yet again two things. One it is very difficult for us to break through the tremendous promotional efforts of others during the very aggressive holiday marketing period. And two while we can certainly substantially increase our sales on specific promotional it is challenging at best to leverage that incremental activity into additional profitable sales across the stores. During the quarter we continued to improve the capabilities of our new Parts Catalogue, Z-net, and continued to highlight this terrific customer service enhancement in our marketing campaign. We believe Z-net continues to gain traction with our customers as we are able to provide better, more comprehensive information to our customers and assist them with their needs more quickly. Additionally we continued with our efforts to ensure our stores looked great through improvements in merchandise placement and routine maintenance. We believe the appearance of our stores both internally and externally, are continuing to show significant improvement. Regarding macro trends, during the second quarter unleaded gas prices started out high at $3.10 a gallon and went down slightly finishing the quarter at $2.96 a gallon. This was materially higher than last year’s second quarter when prices averaged $2.25 a gallon and did cause a headwind for this quarter. Unfortunately, we cannot control the prices of gas at the pump. However, with more vehicles on the road than ever before, our ability to grow sales remains strong over the long term and we believe consumers will ultimately adjust their spending habits for the higher prices. We will continue to develop marketing programs that support our customers’ needs during these high price times. For the quarter gas prices had a negative impact on our sales performance. Regarding miles driven, we saw a decrease in miles driven in November. We do not have the data for December and January yet. Let me again reiterate that two statistics we felt had the closest correlation to our market growth; miles driven and the number of seven year old and older vehicles on the road. While miles driven have been challenged recently there are more registered vehicles on the road today than in our country’s history. For the quarter we estimate that weather had a minor negative impact on our sales. As our footprint is national, any regional differences in weather patterns are muted and weather differences will certainly normalize over the mid to long term. Regarding pricing across the industry, we have not seen any material change in the competitive landscape. Overall consumer price inflation in Q2 remained in the low single-digit range. For the trailing four quarters, sales per square foot were $237.00. This statistic continues to set the pace for the rest of the industry. Now let’s turn to commercial. For the quarter total commercial sales posted an increase of 3.4% versus last year’s quarter. We now have the commercial program in 2,223 stores supported by 133 hub stores. We are encouraged by the progress we are making on our commercial initiatives and by the initial response we are seeing from our customers’ purchasing habits. However there is still much work to be done. With such a small share approximately 1.5% of the overall market, we believe there is significant opportunity to gain further shares. We have spent considerable time and effort to ensure that we are expanding our hard parts coverage to support our commercial customers. We have added a great deal of late model parts coverage to get ready for our busiest selling season; the spring and summer. We extensively mine our transaction information for insights as to where we have additional inventory placement opportunities and as we react to those insights we believe we’re making a difference for our customers. We believe our customers are recognizing our efforts and beginning to reward us with more of their business. Secondly we continue to expand the number of stores with the additional sales support we’ve talked about over the last several quarters. Reaching just under 1,000 programs at the end of this quarter these stores continue to outperform our other commercial programs. In addition to adding additional sales personnel and incentive compensation, we have developed professional sales materials designed to educate our customers and our AutoZoners on the high quality products we carry, the depth and breadth of our offering and the critical customer service attributes of our program. We began implementing this new approach about nine months ago and we have received very positive feedback from our customers and our AutoZoners. Additionally our business has improved in the product categories that have received this additional focus. However we continue to be methodical in our approach to adding new programs to ensure our activities are improving our customers’ experience and leading to sustained improvements in our business performance. What we’ve been doing with this business is relatively straight forward. As it has taken time to both maintain and gain traction, it has really been about focusing on profitably growth. To that point we focused on the key drivers. First we identified the customers that we could most affectively and most profitably serve; those within a reasonable distance of our stores. Second we focused our efforts on the categories that were most important to our customers and their business success; hard parts. We are still in the early stages of this initiative but it has clearly made a difference for us. To succeed in this business we must leverage our strengths to deliver a proposition our customers’ value and that will continue to be our focus. Our customers consistently communicate to us that the most critical elements of our success with them are availability of high quality products, timely delivery and solid customer service. We are pleased with the progress to date but have significant additional progress left before we reach our goal of developing a world class commercial sales force. Finally we remain committed to building this business for the long run. While we are excited about our potential in this business and believe over the long term we can expand the percentage of stores that operate a commercial program we will remain committed to developing a sustainable, profitable business model. We are not interested in driving short term sales results at the expense of profits. We believe all the items we’ve been discussing are building momentum. Each of these pieces must work in a cohesive manner for us to not only attract new customers but improve our penetration with our existing customers. Now let’s turn to Mexico. Our Mexico stores continue to perform well. We opened four new stores during the second quarter. We currently have 128 stores in Mexico. Our ongoing commitment remains to prudently and profitably grow the Mexico business. Now I’ll turn it over to Bill Giles to discuss the remainder of the income statement, cash flows and the balance sheet, Bill?
William Giles: Thanks Bill. Gross margin for the quarter was 49.9% of sales up 71 basis points compared to last year’s second quarter. During the second quarter margins continued to benefit from our ongoing category management initiatives, supply chain efficiencies and our direct import efforts. Over the last several quarters, these efforts have been partially offset by an increase in product costs specifically related to oil based products and other commodities. We continue to focus on ensuring we offer the right products at the right prices to our customers. This includes the supply chain initiatives, tailoring merchandise mix and the continued optimization of our good, better, best product lines all allowing us to price our products appropriately while giving our customers great value. Our Duralast, Duralast Gold and Value Craft product lines continue to show sales increases for the second quarter. Our customers continue to recognize the value proposition these high quality brands offer. Going forward we believe there continues to be opportunity for gross margin expansion albeit at reduced rates. Our direct import initiative is in its early stages and reflects less than 5% of our annual cost of goods. But we are pleased with the progress our merchandising organization has made to improve margins while pressures on procurement costs continue to exist. SG&A for the quarter was 35.2% of sales, up 53 basis points from last year. Our deleverage primarily from continued higher occupancy costs and to a lesser extent, an increase in advertising. Specifically rent and depreciation were approximately 45 basis points higher than last year’s second quarter which reflected a higher percent of leased versus owned stores. As I have mentioned before the AutoZone culture of thrift and focus on cost management is an integral part of our ongoing business model. We believe our efforts on improving customer service implemented in recent quarters will pay dividends well into the future. While our expenditures this past quarter were slightly higher than past quarters we feel very comfortable those dollars were invested wisely in order to capitalize on future sales growth. Over the long run we continue to believe we can leverage operating expenses on a 1.5% to 2% same store sales growth rate. EBIT for the quarter was $197 million, up 4.2% over last year. Interest expense for the quarter was $28.6 million compared with $26.8 million a year ago. Debt outstanding at the end of the quarter was $2.95 billion or approximately $240 million more than last year. The increase in interest expense primarily reflects the higher level of debt. Our adjusted debt levels at 2.2x were higher than our normal guidance of 2.1x our trailing 12 month EBITDAR. Our expectation is to return to 2.1x metric by the end of our fiscal year we opportunistically purchased additional shares during the first quarter of this year. We purposely manage our capital structure relative to our cash flow in order to maintain our credit ratings at investment grade while optimizing our [inaudible] capital. For the quarter our tax rate was 36.6% above last year’s rate of 36.5%. We expect to run approximately a 37% tax rate for the remainder of fiscal 2008. Finally net income for the quarter of $107 million was up 3.6% over the prior year. Our diluted share count of 63.7 million shares was down approximately 10% from last year. The combination of these factors drove earnings per share for the quarter to $1.67 up 15.7% over the prior year. I would like to take a moment to remind everyone that our 2008 fiscal year has an extra week in it. Every six years or so our fiscal year has this 53rd week in the fourth quarter. At then end of this fiscal year we’ll be talking to you about EPS numbers that include an extra week so we encourage everyone to model this extra week and take that into account. At the time of reporting we will break out the impact of this extra week we had in our business. Relating to the cash flow statement in the second quarter we generated $126 million of operating cash flow and did not repurchase any AutoZone stock as part of our ongoing stock repurchase program. However year to date we have repurchased approximately $350 million as part of our stock repurchase program compared to approximately $220 million during the same time period last year. For the second quarter of this year we reported an industry leading ROIC or return on invested capital of 23.2%. We are proud to report that this metric continues to improve over last year’s already industry leading rates. Finally I’d like to take a moment and update you on our inventory levels in total and on a per store basis. We reported an inventory balance of $2.1 billion up approximately 8% versus the Q2 ending balance last year. However this 8% increase is not truly comparable to last year as last year’s numbers excluded $40 million in pay-on-scan inventory which was not included in our GAAP numbers. We slowly reduced our inventory balance held as pay-on-scan over the last several years. Today we have approximately $11 million in inventory in our pay-on-scan program. Our adjusted inventory including pay-on-scan inventory was up approximately 6% versus the previous year’s quarter. This increase is being driven by our new stores opened over the last year where we have approximately 5% more square footage than last year. On a per store basis, we reported $504,000 per store versus $496,000 in last year’s second quarter an increase of approximately 2%. Also keep in mind that we have added additional parts coverage through our category line reviews. Had it not been for our diligent work on rationalizing certain unproductive inventory we could not have freed up the space we needed for our additions. This effort on parts additions will continue for the foreseeable future and will allow us to say “yes” to our customers even more. Overall we feel good about the complexion of our inventory and believe that we are well positioned as we head into our third fiscal quarter. Accounts payable as a percent of gross inventory finished the quarter at 89.1%. Total working capital was $31 million versus last year’s balance of $100 million. We will continue to focus on minimizing working capital as this past quarter reflects. We are committed to continuing our ongoing focus on increasing cash flow. Next fixed assets were up 4.4% versus last year. Capital expenditures for the quarter totaled $50 million and reflect the additional expenditures required to open 34 new stores this quarter, maintenance on existing stores and work on development of new stores for upcoming quarters. Specifically related to new store openings, our new stores are on track to achieve at least the 15% IRR and we continue to see ample opportunity to open stores in the US at a mid single-digit growth rate for the foreseeable future. We opened 28 new stores in the quarter for a total of 4,000 in 48 states, the District of Columbia and Puerto Rico. Our goal remains to open stores more evenly throughout our fiscal year. We also relocated two stores this past quarter and we continue to see opportunities to expand this initiative in the future. Depreciation totaled $39 million for the quarter higher than last year due primarily to new stores. AutoZone continues to be one of the few players in our industry to have investment grade debt ratings. Our senior unsecured debt rating from Standard and Forest is BBB+ and we have a commercial paper rating of A2. Woody’s Investor Service has assigned us a senior unsecured debt credit rating of BAA2 and a commercial paper rating of T2. Now I’ll turn it back to Bill Rhodes.
Bill Rhodes: Thank you Bill. While we are certainly pleased to report record earnings and earnings per share for the quarter we also understand that we must stay focused on both growing both our retail and commercial sales. We clearly understand our success is driven by our customers’ daily experience with us and we must continue to enhance this experience. We continue to see our customers being more cautious with their buying habits. However we believe if we maintain our relentless focus on the basics of our business we will continue to be very successful. We remain confident in our ability to drive results in this business even with the macro challenges our customers are facing. Our story remains a consistent one; a focus on steady, profitable sales and earnings improvements, refining our inventory assortment, continual training of our AutoZoners, expanding our commercial business and prudent profitable growth in Mexico. While we are pleased with our execution in the quarter our sales results were below our expectations. However our survey results tell us the AutoZone shopping experience is better than it’s been since we began measuring it three years ago. While we do not provide financial guidance our team continues to be enthusiastic heading into the second half of 2008. We continue to feel confident in our long range plans. We believe we have opportunity for growth in all three key business priorities; US retail, commercial and Mexico. 2008 is about further refining our hard parts assortment to increase our ability to say “yes”. In fact we continue to have a tremendous opportunity to increase our yes percentage for both our retail and commercial customers. This year is also about testing enhancements to our hub store network to make more late model parts coverage accessible to our stores and customers. We believe this optimization can help us improve the productivity of our inventory while making more merchandise available where it counts; at the store. Lastly 2008 will be about growing our commercial business. Customer service will continue to be our key point of differentiation and AutoZoners across North America are committed to providing that while customer service, our patrons have grown to expect. We will focus on improving the trustworthy advice of our AutoZoners that they deliver through the enhanced training and providing them the tools they need to succeed. As we continue to demonstrate industry leading financial metrics we remain cognizant of our investors’ capital. We continue to remain focused on optimizing long term shareholder value. We will maintain our cost disciplines while investing incrementally in initiatives that exceed our stated 15% after tax IRR hurdle rate. I thank you today for letting us share with you our company’s results and touch on our ongoing initiatives. We look forward to keeping you abreast of our results well into the future. Now we’d like to open up the call for questions.
Operator: Your first question comes from Matthew Fassler - Goldman Sachs
Matthew Fassler - Goldman Sachs: Congratulations on a good quarter in a tough market. Just a couple of quick questions, first of all if you could just revisit your capital structure. You spoke about the 2.1x target leverage that you seek to maintain, would there be any other reason in terms of assessing the business environment of the strategic uses of cash that you would have held off on the buy backs during the second quarter?
William Giles: Matt, the way I would look at it is on the year to date basis we repurchased $350 million worth of shares versus $220 million purchased last year. We accelerated some of our repurchases in the first quarter and we’re committed to get back to our 2.1x and maintaining our investment grade credit rating is important to us.
Matthew Fassler - Goldman Sachs: To the extent that you can progressively make your way back to 2.1x over the course of the next couple of quarters while still buying back stock, is that something that you would do. In other words do you feel the need to get back to 2.1 on the dot before you commence buy backs or can you move directionally toward that, obviously these are more lucrative quarters for us, the cash flow should pick up substantially?
William Giles: Yes, I guess our general focus at the moment is that we’ll get back to a 2.1 by the end of the year. So I’d look at it that way.
Matthew Fassler - Goldman Sachs: That’s very helpful. Secondly on the commercial front, obviously there was a tad of deceleration there as there was in the broader business, is that something that you would view as a step back or just a focus or rather a function of the environment that we saw during the quarter across the board?
Bill Rhodes: Yes Matt I certainly don’t think that it’s a step back by any stretch of the imagination. We didn’t get into the details but one of the things that happen during this period of time are you have the holidays. And this year Christmas and New Year’s hit on Monday and Tuesday and last year they hit on Sunday and Monday. We don’t have a very robust business in commercial on Sundays so there’s some shift in the number of days. We see nothing that changes our outlook for the commercial business and are very excited about what our team has been doing. And also about the response that we’re getting from our customers both in their purchasing habits but also in the dialogue that we have with them.
Matthew Fassler - Goldman Sachs: And then finally real briefly, on the weather, you’ve spoken about it from time to time when it impacts your mix in terms of sales of chemicals and other lower margin products. Was the weather a factor in driving mix and consequently margin in either direction this quarter?
William Giles: I think one of the things that we’ve learned over time is a lot of this stuff evens out over a broader base period so as Bill had mentioned previously we’re going to get fluctuations on a weekly basis throughout a quarter but on a 12-week basis things seem to even out a little bit. I think actually our gross margin improvements; I think our merchandise organization has done a very good job between just optimizing our merchandise assortment. Some of the category line reviews that we’ve done, we’ve certainly added hard parts coverage, we’re able to say yes more frequently so I think we’re delivering a better shopping experience to our customer today certainly than we were a year ago.
Matthew Fassler - Goldman Sachs: Thanks so much.
Operator: Your next question comes from John Lawrence - Morgan, Keegan
John Lawrence – Morgan, Keegan: Bill just a follow on Matt’s question just for a second on the commercial; the first two priorities you pointed to were identifying the customer and then the categories themselves. Can you talk a little bit about those categories, as the process has evolved have you brought those down to just sort of a standard deviation of a certain group or a percentage of the inventory or is it just better overall experience?
Bill Rhodes: I think what we’ve done over the last year and a half John was we focused really hard on making sure that we got the foundational elements of our business in good shape and that includes parts coverage that includes high levels of service. We did some things like bringing our credit processing back in house and so we got those foundational elements in place and then we began building some really strong sales culture. We started it with making some powerful sales marketing collateral that our AutoZoners have that explain the high quality of products that we have. Showed the depth and breadth of our offering and then we’re also building a sales culture and so it’s kind of across the board.
John Lawrence – Morgan, Keegan: And all of those things together allow someone to listen and to knock down some barriers that you didn’t have, that weren’t able to be done say a year or two ago?
Bill Rhodes: I think that’s exactly right and the sales collateral that we provide gives our AutoZoners another reason to go talk to our existing customers and the customers that we’re targeting.
John Lawrence – Morgan, Keegan: Great thanks and Bill on the cost of goods side, can you give us a little feel for that inflation in some of those oil based products, where is that as far as sequentially or you seeing more pressure, less as a percentage as we go forward?
William Giles: Probably a little bit less but I would say that we continue to see pressure and I don’t know what the future holds for us, our expectation will continue to see some pressure on commodity based products.
John Lawrence – Morgan, Keegan: Great, congratulations, thanks guys.
Operator: Your next question comes from Tony Cristello - BB&T Capital Markets
Tony Cristello - BB&T Capital Markets: Bill gross margin does continue to show very nice year over year improvement and category management has been a primary driver, can you perhaps give a bit more detail on some of the successes you’re having now versus maybe last year and what are some of the other areas that may provide some opportunity going forward?
William Giles: I would say that there’s a lot of different things and certainly I think from a merchandise assortment standpoint that we’re stronger today than certainly we were last year relative to some of the inventory that we’ve added. Clearly we talk about the import program, the direct import program albeit that it’s only 5% of our overall cost of goods sold. Again that’s another important element of our ability to continue to lower product acquisition costs and our ability to respond to increasing prices, particularly commodity based prices and the timeliness of that has been important as well for our ability to continue to make improvements on our gross margin. So there’s a lot of moving parts overall on gross margin and we’re pleased certainly with the gross margin rate that we’ve experienced up to this point and we anticipate that we may have future improvements in gross margin albeit reduced rates versus what you’ve seen up to this point.
Tony Cristello - BB&T Capital Markets: And when you look at parts assortment and maybe this is a two part question with respect to commercial but has that been driven by adding more parts under the Duralast brand or has that been other branded products that you’ve added to compliment what you’ve already been doing there?
Bill Rhodes: Tony, I think it’s been a combination of both. We have Duralast and Duralast Gold and Value Craft in certain hard part categories and in other categories we don’t. We haven’t restricted the increases to the places where we have our brands. We’ve gone across the board from ignition to brake pads and basically every category in between.
Tony Cristello - BB&T Capital Markets: Okay and is it a situation where when you look over these 900 stores that are in the sort of test program have they, I mean these have been better performing stores in general and can you comment on from a where they stand on the call list with respect to installers, were they already on a higher level or did this parts assortment cause that to move up and thus the flow through on revenue?
Bill Rhodes: I think there’s a little bit of a misnomer that somebody is first call and somebody is second call. In a lot of cases that happens on the individual category lines. So you may be first call on brakes and second call on engine management. Obviously we’re moving up the call list. We don’t have great detail to tell us exactly where we are on each individual customer but we’re very pleased with the progress we’re making. We think the parts assortment has made a material difference with our customers’ response to us.
Tony Cristello - BB&T Capital Markets: And is it the parts assortment or the customer service, the combination of all and how easy is it to then transition what you’ve learned here, what you’re applying to a much broader base of stores with respect to commercial?
Bill Rhodes: We’ve mentioned a little bit on the last call, part of our hesitancy in rolling this aggressively forward is it has additional cost components to it and it’s easier to leverage that additional cost over the higher sales productivity stores, you know programs. And so we continue to roll it out methodically and the more we refine it the more stores that we can afford to add those additional resources to. So I would look for us to continue to roll it but also continue to be very prudent with that roll.
Tony Cristello - BB&T Capital Markets: Okay great, thank you.
Operator: Your next question comes from Michael Baker - Deutsche Bank North America
Michael Baker - Deutsche Bank North America: Two questions, first it sounds like you did some more marketing, didn’t really pay off so I’m wondering what your plan is on your marketing ahead and then secondly if you have any comment on potential consolidation in the space, how that might impact you guys or what your view is there?
Bill Rhodes: On the marketing piece, I don’t want to oversell that discussion. Around Christmas time we went out and did four very hot promotions and we did it to try to see what we could do with increasing customer traffic. And we also supported that with some incremental radio. We found that number one, it’s just very hard to break through during the holiday shopping experience; a tremendous amount of people out there. And we also found that because we can sell some promotional items at very aggressive prices that does not translate into being able to drive profitable sales across the balance of our stores. It goes back to that age old discussion that if customers aren’t willing to buy an alternator if you put it 50% off price, they aren’t going to buy it unless they have a need to buy it. On the consolidation front, the way we look at it, we have tremendous competitors across the entire country. A lot of times people want to talk about Advance and O’Reilly’s and CSK and obviously those are very strong competitors. We have a lot of other very strong competitors too like NAPA and Car Quest, not to mention the [WDs and Mass] and lots of other folks. So any change in the competitive landscape we’ll certainly monitor it and we’ll react to it but we believe our success is determined by what we do and how we interact on a daily basis with our customers and our AutoZoners.
Michael Baker - Deutsche Bank North America: Okay so it sounds like you’re more in the as you said, monitor and react stage rather than something more proactive, is that fair to say?
Bill Rhodes: You know I’m not going to get into any of those kinds of discussions.
Michael Baker - Deutsche Bank North America: Fair enough, thought I’d ask.
Bill: I don’t blame you.
Rhodes: I don’t blame you.
Operator: Your next question comes from Cid Wilson - Kevin Dann and Partners
Cid Wilson - Kevin Dann and Partners: Congratulations on a good quarter. Question, touching back about what you had mentioned regarding the strength in hard parts, can you give us some guidance in terms of on a comparable basis how hard parts have did versus accessories and chemicals?
William Giles: No traditionally we don’t break out that level of information between hard parts and chemicals and so on. The only thing I will tell you is that I think we’ve done a better job relative to increasing the amount of coverage that we have in the hard parts business that we think is actually helping both the commercial side of the business for our ability to say yes particularly in later model coverage and also helps a little bit on the DIY side overall. So I certainly think that some of the inventory initiatives that we have undertaken over the last year, we’re starting to see some benefits from.
Cid Wilson - Kevin Dann and Partners: Okay and is there any change in terms of the percentage of your total inventory that is private label?
Bill Rhodes: Cid, it’s not materially changed. We continue to look for ways to enhance our Duralast and Duralast Gold offerings and in some cases they get a little bit more focus because they’re in some of our core categories but I wouldn’t say there’s anything material there.
Cid Wilson - Kevin Dann and Partners: Okay and then my last question is that any color on you’re utilization of your DCs and where they are and what your outlook is in terms of your DCs?
Bill Rhodes: No, you know what we’ve always said is that at the point in time that we make changes to our distribution strategy we’ll communicate them. At this point in time we have seven distribution centers in the continental United States and they’re capable of servicing all of our stores. We also have a DC in Mexico that services our Mexico stores.
Cid Wilson - Kevin Dann and Partners: Okay, thank you very much.
Operator: Your next question comes from Richard Weinhart - BMO Capital Markets – US
Richard Weinhart - BMO Capital Markets – US: Two questions, first on the rent expense, you mentioned additional stores being leased versus owned but even backing out the store openings the last year, it seems like your rent expense is up pretty sharply over last year and I’m wondering if there’s anything in there either one time in nature or what factors might have been attributed to that?
William Giles: I think it’s really just a mix of the stores that we’re opening. I think that we’re seeing some higher rentals [inaudible] for the places that we’re going to geographically so we obviously we’d prefer to own more than we would lease but you know certainly for some of the locations that we’ve been opening over the last year or so, we wound up leasing more than we’ve owned and so that’s really what’s impacting the mix overall. But I don’t think that we’ve seen a material change in our rent on a market by market basis per se.
Richard Weinhart - BMO Capital Markets – US: Okay and my second question was on the inventory impact with the way you’ve been accounting for LIFO over the years, I believe last quarter according to your Qs, you had the first quarter I think in many years where your LIFO cushion against inflation came down. I’m assuming that with inflation the way it is that perhaps that continued. What kind of impact, can you give us any clarity on what kind of impact that has on your gross margins; will we see that come down?
William Giles: I think overall some relatively flat line, you may have had it come down a little bit but I wouldn’t look at that as an impact on gross margin. Our gross margin is really a reflection of our activity from a merchandising standpoint.
Richard Weinhart - BMO Capital Markets – US: Okay, thanks very much.
Operator: Your next question comes from David Cumberland - Robert W. Baird
David Cumberland - Robert W. Baird: For the commercial business have you been able to maintain margins in the first half of the year while you’ve been investing in the business?
Bill Rhodes: As far as gross margins have been, we haven’t seen any or had any significant shift one way or the other in our overall gross margins. As we make investments particularly in some specific areas we can see some minor contraction in the operating margin but nothing material.
David Cumberland - Robert W. Baird: Thanks and then on Z-net, can you elaborate on how much the system would need to develop or change from here and also are all AutoZoners fully trained at this point?
Bill Rhodes: Oh yes certainly, they’re fully trained. You know it’s interesting, we began rolling out the Z-net in December of 2006 and within a quarter we had it in every store across the chain and had turned off the old system. The beauty of Z-net is that it’s intuitive and if you work on the internet today it’s basically the same philosophies on Z-net so everybody can jump to it pretty quickly. It doesn’t require hardly any training at all; in fact it’s easier than our old system from a training perspective. As to what’s the future of Z-net, we have a terrific platform that we’ve put in place with Z-net and we’re continuing to refine it every day. We’re continuing to add pictures for more parts categories; we’re continuing to add vehicle-specific repair information on more and more vehicles on a continuous basis. And it also gives us the opportunity to do some things with our AutoZoners to make them more knowledgeable and also give them an additional selling aid from adding banners on there that explain the differentiation between our good, better and best products and I think we have two or three further iterations of enhancements for Z-net in the pipeline and we’re continuing to roll through those methodically.
David Cumberland - Robert W. Baird: Sounds good, thanks.
Operator: Your next question comes from Danielle Fox - Merrill Lynch
Danielle Fox - Merrill Lynch: I just wanted to follow-up on the issue of pricing. We do our own survey which showed that industry pricing was down for the first time in years and Advance Auto Parts actually mentioned on its recent call that it was trying to be more competitive on hard parts to attract commercial business. You’ve addressed this issue somewhat but I’m just wondering are there differences between the retail and commercial competitive dynamics that might be affecting say your ability to move up prices on things like consumables and maintenance items versus hard parts? So is there a material difference in the pricing environment between retail and commercial?
Bill Rhodes: Danielle I’ll start with yes, there are certainly differences in the competitive dynamics. One is a delivery business so a lot of people look at the profitability in that business based upon a delivery where the other one is an in store customer experience. So they do have different pricing structures in place and we have different pricing structures in place. They are not drastically different but they do have some differences. As far as is there more challenge in one side versus the other in making sure that, or being able to move our prices up, we want to make sure and we are going to ensure that we are competitive to all of our competitors in every market whether its on the retail side or on the commercial side from a comparative offering. That is if we have a better set of brakes we’re going to make sure that our better set of brakes are priced competitively with our competition regardless of which business it’s in.
Danielle Fox - Merrill Lynch: Okay that’s helpful, thank you.
Operator: Your next question comes from Unidentified Analyst
Unidentified Analyst: Regarding your commercial business I estimate that in stores that have commercial departments that they represent approximately 22% of that store’s sales. Is that approximately correct?
Bill Rhodes: That’s directionally correct, it may be just a slight bit less than that but that’s in the ballpark.
Unidentified Analyst: Okay well as you know in the case of CSK and Advance Auto that ratio is over 30% and I was wondering if that differential is partially explainable in terms of distribution capabilities between the companies in terms of what the amount that they want to invest in DCs and hub stores and so forth and the amount that you want to invest because the more you invest in that area the lower the ROI.
Bill Rhodes: I don’t think it’s a function of what are we willing to invest in that business or in those distribution assets. Our perspective on it is if we can get the products to them in a timely manner and we have daily delivery to almost every store in our chain, certainly over 80 some odd percent of our stores get a daily delivery from a hub store, so we’re able to provide that level of service. As I mentioned in our prepared remarks that we are looking at some incremental tests in our hub stores and we’re excited about what we’re doing there but we want to as always prove that it worked before we roll it out further.
Unidentified Analyst: But as I said before there’s significant difference between say 22% over 30% for CSK and Advance Auto, how would you explain that difference?
Bill Rhodes: I think there’s a variety of reasons why that may exist. I’m not really focused on what they’re doing. I’m focused on what we are doing and how do we do it and do it profitably over the long term.
Unidentified Analyst: Okay thank you.
Bill Rhodes: Okay before we conclude the call I’d like to take a moment to reiterate that we are excited about our growth prospects for the remainder of our fiscal year. We understand the challenges our customers face every day. We also understand that when times are challenging we can offer a value proposition that really matters for our customers. Remember, many of our customers shop with us out of economic necessity. We believe we have that value proposition and we won’t stop working to refine our offerings. We have a solid game plan but I want to stress that this is a marathon and not a sprint. Our focus is on our critical success factors. As we continue to focus on the basics and never take our eye off of optimizing long term shareholder value, we are confident we will continue to be incredibly successful. Thank you very much for participating in today’s call.